Benjamin Wilkinson: Good morning, everybody. Thanks for joining us for Molten Ventures interim results. This is the results for the 6 months to the end of September, and we'll take you through key movements in the portfolio. We've moved with the trading statement at the end of October and then now giving you the final numbers here. Today, you will be spoken to by myself, CEO, Ben Wilkinson; and also our CFO, Andrew Zimmermann, who will take you through the financial highlights. I'll just give a quick introduction, a reminder to Molten, and then we'll get into the numbers. So Molten Ventures is actually, next year, celebrating our 20th anniversary as a firm and has been listed since 2016. The benefit of that is obviously that we can get to show the model working over time. And I think here in these results, you'll see the breadth of the portfolio and the demonstration of that vintage creation that's been happening over these many years, 80-plus portfolio companies in the portfolio. And when we look at the PLC numbers here today, that's what we'll be talking to, but also we manage EIS and VCT funds alongside. So the capital pool is an important function and driver of our model and how we address the market. On the right-hand side, you can see the important factors. We've targeted 20% annual growth in the portfolio fair value, and that's -- we call that through the cycle because obviously, these things tend to be up and down somewhat, but actually delivered 26% when you take into account the 6 months growth. And then in realizations, the important factor is turning that value into cash, and we've delivered 14% versus our 10% target. And again, I think that's a differentiated point from us versus some other firms and something that we've been able to demonstrate through many years. So we'll touch on those returns. In aggregate, GBP 1.1 billion of capital deployed in those years as a public company and returning over GBP 700 million coming back, which is a really strong proof point of our model. A year ago, when I took over as CEO, we refocused our strategic priorities on these key areas, really focusing on our core investment strategy of Series A and Series B investing. Particularly at Series B, this is a part in the market in Europe where there's a gap to capital, somewhere where we have strong experience and it's where you see the commercial traction in those businesses coming through most strongly, but also requiring the venture capital skills that we can bring to bear to help grow those companies and manage their scaling journey. And so it's capital, but also active management that we bring to bear with these companies. Scaling our own portfolio and developing the co-investment pools of capital further continues to be a key priority for us. We'll touch on the progress in some of those areas, but having the public balance sheet, having the EIS and the VCT funds and then growing out our third-party capital on the private side is a key strategic priority for how we scale and grow within the market. And as part of that, thinking about our fund-to-fund program, which is the investment into funds at the earlier stage from when we invest directly, we've been going through that program and looking at a narrower cohort for the next iteration of investment. So the existing program is largely funded in good shape. It gives us quarterly reporting on 3,000 underlying companies, which is great for our deal funnel. But just thinking about the uses of our capital when capital is ultimately constrained, we want to put more of that into direct investing and thinking about the shape of our portfolio, how that evolves over time. Balance sheet strength, we're going to be able to touch on that today. It's clearly getting back to growth is an important factor within that, but also driving the liquidity from realizations and then thinking around the use of that capital as it comes back. And we always talk to this NAV accretive use of capital. And importantly, that can be buybacks of our shares when we're trading at big discounts, and we've demonstrated with GBP 50 million committed to buybacks, that's something we're willing to do, and we recognize the strength of doing that in terms of buying our portfolio at a discounted value, but also NAV accretive in terms of driving investment. A lot of the companies that we're going to talk about today, we invested in those businesses almost 8 years ago. And the growth that's come through over that time and management of those companies that's come through over that time, and that will drive the growth in the future by the investments we make now. Another part of our strategy is to invest in secondaries where we can acquire mature assets at discounts to their holding value by providing liquidity to an illiquid part of the market and giving ourselves and our shareholders access to those growth companies and that are known winners, if you like, in other people's portfolios is a very sensible way for us to use our capital. So when we talk about NAV accretive use of capital, we're thinking about it in a holistic way about what is the best use of that capital depending on the opportunity set. And clearly, driving a narrowing of our share price discount to NAV continues to be a focus. Some progress has been made on that, but a lot more to go. You'll see today that the NAV is growing, and therefore, the shares have to trade up even further as we drive value in the portfolio. And I will, therefore, hand over to Andy to take you through our financial highlights and demonstrate some of that.
Andrew Zimmermann: That's great. Thank you very much, Ben. So I'm Andrew Zimmermann. I'm the CFO at Molten Ventures. About a year ago, I was interim CFO, presenting my first set of interim results. So it's nice to be here 1 year later as actual CFO. And we've got a really positive set of financial results to present. So without any further ado, we will get on to that. So very pleased to have -- talk about a 6% GPV uplift to NAV, GBP 135 million of uplifts offset by GBP 49 million of reductions. FX has added another GBP 11 million to that with the GBP euro being a tailwind, but GBP USD being a slight headwind. Market comps have helped sectors like AI and deep tech and hardware have obviously been stronger [Technical Difficulty] that's been offset a bit by consumer and SaaS. Core names like Revolut, people have read the news about yesterday and ISI have shown very strong commercial traction. Sorry, GPV and NAV are both up at GBP 1.4 billion GPV and NAV GBP 1.3 billion. Realizations have been slightly ahead of investments with some of that cash going to buybacks, again, as Ben referenced, recognizing the NAV accretive additive potential of those. Realizations were pleasing at GBP 62 million to the half year. There was also an additional GBP 23 million from another tranche of [Technical Difficulty] Revolut in October. So GBP 87 million so far year-to-date that we've done with some other little bits and pieces. Freetrade, Lyst and Revolut, the 2 partial Revolut-led secondaries are the drivers of that. So been at GBP 87 million already year-to-date after a very strong FY '25 of GBP 135 million. It's really pleasing to see that momentum continuing. From that cash, [Technical Difficulty] we've put GBP 33 million into the balance sheet, GBP 33 million. We'll come on to that in a bit more detail in terms of [Technical Difficulty] some of the things that we've done. Again, there's been more invested post period end with about GBP 25 million that's either been invested already or is about to be and will be announced. We've also done GBP 19 million of share buybacks. Again, that is NAV accretive to our NAV per share, that's added about 14p to our NAV per share. And we've just announced another GBP 10 million extension to that, which will take us up to GBP 50 million committed so far. OpEx, we've managed to reduce. We've been really disciplined. We've looked at technology and how we can drive some efficiencies from that. We've been able to, therefore, reduce our general admin costs from GBP 13.1 million to GBP 12.1 million year-on-year or half year-on-year, which is an 8% reduction, some reductions in headcount there are mainly on the operational side so that we can rebalance our investment and really drive that investment quality. So we're at 0.1% operating costs net of fee income, which is well below the 1% target of NAV. So that means we end the half year at NAV per share of 724p, which is 8% up on the year-end position, which is obviously a really strong, great position to be on, and then we'll be looking to build on that in the coming period. And our balance sheet at the 30th September had cash of GBP 77 million. We also have cash plus GBP 23 million from that Revolut tranche that came in, in October. And we also have funds available in EIS and VCT of about GBP 23 million available for investment. So we're in a really strong balance sheet position where we've managed to balance the investment with buybacks and cash available going forward. So this is a chart that you're used to seeing where we talk about our performance through the cycle. We have a target of 20%. Our average return through the cycle is now 26%. You can see from this chart, we -- obviously, there was strong growth with a real peak in FY '22. We were quick to take valuations down in FY '23. FY '24, things started to stabilize a bit. And then in FY '25, there's a smaller return to growth in FY '26. That first half, 6% for the half year is obviously a good start and obviously, not quite a hockey stick yet, but starting to turn up there in terms of the growth. So we'll be looking to see that continue in H2. I think with sensible marks for our portfolio and tailwinds behind a number of the core companies, there's good signs that, that will continue. Everybody has been reading a bit about a bit more activity in IPO markets and M&A. So with our diversified portfolio and our experience managing through the cycle, we're optimistic about this continuing. So the story on realizations is really similar -- similar shape. Our target is 10% through the cycle, and we've delivered 14% so far average return. Again, you can see that builds up towards FY '22, where it really peaked. Then obviously, it was a difficult market in FY '23 and FY '24, really slowed momentum for realizations. There's a positive return in FY '25, where we did work really hard to engineer different realizations for a number of the companies. And that's obviously pleasing to see that continue into FY '26, with a GBP 62 million to the half year 30 September and an additional GBP 25 million since then. We're obviously still working on other things. So we would hope to be able to generate more realizations before the end of the year. And obviously, our evergreen model then enables us to recycle that back into future investments, which are going to drive the future NAV growth as well as other NAV accretive opportunities like secondaries and buybacks when the discount is wider to the share price. So this is just a slide a little bit about our investment deployment. We've deployed GBP 33 million in the first half of the year. We've done more since then. So the cadence will pick up a bit in the second half of the year. I'll just call out a few deals. Ben will talk a bit more about the portfolio later in the presentation. But in new deals -- yes, GBP 6 million in new deals. One example in that is General Index, which is a data-driven energy pricing provider for the commodities market. In the follow-ons, we've done GBP 5 million, which is helping to scale and build our portfolio. For example, the one I'll call out is Manna, which those of you who know me know I like to talk about just like drones delivery food. But again, it's a good example of us investing in the ones that are going to be the future drivers of growth in the portfolio. In the secondaries, we did the secondary with Speedinvest for GBP 16 million in the continuation fund. These give us access to a portfolio of companies that we understand as venture managers that are later in life, so they've got a shorter exit window, and we can get them at a very attractive price. So it's another good option for us in terms of driving NAV. And then finally, we've put GBP 6 million into our fund of funds program. Obviously, we're trying to manage a tighter cohort going forward, but this helps us to scout the future winners that are going to feed through into the emerging and then the core in due course. We've also recently signed a GBP 12 million Series B with someone in the portfolio company, which we can't announce just yet, but we'll be working on that. So watch this space, you should see an announcement of that soon. But that's just a really good reaffirmation example of us backing our portfolio and backing the winners in our portfolio and getting back to more of this focus on Series A and Series B core investments. And then just on the chart here on the right, again, just to call out the shape of it, you can see FY '23, just before things started to go south, we deployed a more normal level of capital. FY '24 and '25, obviously, a bit more capital constrained, but we're now getting back more to a normal investment cadence with targeting somewhere around about GBP 100 million by the end of the year. So this slide just walks us through the fair value movement for the period in the portfolio. So you can see investments and realizations we've talked about, so slightly more realizations than investments, which are a net down in terms of the GPV. FX has worked in our favor. As a pan-European investor, we're obviously going to be exposed to movements in euro and dollar, but that's been a small net benefit for us this period. The real talking point, I think, is the movement in the core, GBP 92 million uplift, and we'll come on to talk about the specific drivers of that with the portfolio fund in due course. But that's like an 11% uplift, which is much more where we want to be and where we feel we should be. And so that's really pleasing to see. The fund performance contributed about GBP 7 million. That was offset by about GBP 30 million, a small write-down in the emerging portfolio, which I will actually now just come on to talk about. But overall, a really strong net 6% fair value increase for the first half of the year. So we've had a lot of feedback from people in terms of the emerging. We talk a lot about the core. That's obviously the biggest part of the portfolio by value, but the emerging are what's going to drive the future. So we're trying to talk about this a bit more and shed a bit more insight into it. Ben will talk about some of the specific companies, which I know people find really interesting and exciting. So that will add a bit more color. There's 68 companies in this emerging portfolio, so it doesn't lend itself to a big list, but this table gives you a sense of the diversity and range of across that cohort. So the average age of investment in this is about 5 years. And the average cost of investment is about GBP 4 billion. So you can see the average is obviously smaller. These are the earlier Stage 1s. There's obviously a broad range within that. And you can see from this doughnut here, about 3/4 of them are the smaller sub-$5 million positions. So these are the ones that are still proving themselves out. As they start to scale and grow, and we can spot the emerging winners and we have some conviction, then we can put more capital into them. And so the remaining 2 sections of the donut are as these companies start to grow and we can follow on and help them grow, we'll put a bit more money into them. And then eventually, these companies should grow, keep growing and some of them will get into the core as the future winners in the portfolio. In terms of the fair value movement in this segment, you can see that actually the majority or nearly the majority had an uplift in terms of the number of companies, a number flat and then about 1/3, there was a small reduction. Overall, although there were more uplifts in the portfolio, there was a small net reduction. There were 2 or 3 sort of larger write-downs just in specific companies in that emerging sector that meant it was a small net write-down of GBP 13 million. But overall, still positive momentum in that cohort of the portfolio. So this is the fan, which obviously you're familiar with seeing. Again, I would just call out the point that the scales are different, which is why it looks a little odd, but Revolut because it's so large by fair value had skewed the scale. So we've split the two halves slightly. The right-hand side are the smaller ones that are growing. The left-hand side are the more mature ones in the core. So just to call out some specific ones where there's been the more significant movements. So SimScale, which is cloud-native simulation. It's doing really well in terms of starting to add logos, starting to really grow revenue. It's got good ARR retention. So that one is starting to move up the fan. And obviously, we have a strong belief in that one going further. ISAR Aerospace is one that you may have seen like the rocket launch. It's a German space rocket company, hopefully, a European SpaceX. They got their first rocket away off the platform earlier in the year. It didn't -- it blew up, obviously, partway through, but that is expected as part of the development process. So they got all the data that they needed, didn't destroy the launch pad, so they were really happy. And they're already working towards launch 2. But that first successful launch in terms of the data collection unlocks a capital for EUR 1 billion valuation. So that one has shown good growth in the half year. Thought Machine, although it's not moved that much, I just thought I would call this one out because people are interested in that one. That's obviously core native banking software. You'll maybe remember a year ago, we'd actually taken that one down quite significantly as it sort of stalled in terms of the speed of its revenue growth. In the second half of last year, we started to write it back up, and we've done a little bit again in this first half of the year. The story hasn't really changed. It's a really good business. They're signing Tier 1 banks. They've got a good pipeline of logos. It's just the cycle for that particular line of business. It takes a while to turn it to permanent ARR and longer than they originally perhaps forecast. So as they get these books of business live, the ARR will grow again quite lumpy and that speed of revenue growth should start to accelerate again, justifying more of a premium valuation. So we should see that start to pick back up and walk back up as they hit those commercial proof points. ICEYE is another one that's had a really strong period. You may have read about it in the press, dual-use technology, it synthetic aperture radar satellites, which are just a very cool technology, can see through cloud, can see at night. They've just released their latest version of them, which are even more high definition. You can see things about the size of a laptop from space. Obviously, the shift in defense, particularly for European governments, financing themselves mean they've signed a lot of contracts with different European governments. So they've got really good traction, both in terms of hardware, the actual satellites themselves, but then the software in terms of delivering the images to people. And obviously, the comps in that sector have really benefited from that as well. So it's really strong growth in that one. CoachHub is the only one in the core really that we've had to take down much. That one, CoachHub is obviously coaching software for enterprises and it matches coaches with executives. That's had a slightly tougher year. Firms are probably being a bit more mindful of what they spend their money on and things like that can be the first to be paused. It's actually profitable, but the growth has just stalled. So in terms of the valuation, you need revenue to really be growing at a stronger level to justify a higher premium. So as they get back to that growth, we would expect to be able to walk that valuation back up again. But until they hit those commercial traction proof points, we've pulled that one back slightly. Aircall is business communications software, AI cloud-based, more than 20,000 customers, really good solid business. It's profitable. It's doing more than 20% revenue growth year-on-year, consistently performing a really good example of a mature company in the portfolio that should be heading towards some kind of exit scenario, whether it's an IPO or a trade sale as it really matures. Ledger, again, benefiting from really strong tailwinds, crypto and NFTs, it's a hardware wallet and software that goes with it. Really strong revenue growth, really strong performance. Comps are doing well because of the U.S. market being very favorable towards that kind of asset class. So it's been a strong beneficiary of that. And then finally, Revolut, you'll all have seen the news yesterday about their GBP 75 billion round. That obviously came a bit late for us in terms of this performance. So we've held it based on commercial traction and commercial milestones. It's obviously still performing really well, more than 60 million customers. They did GBP 4 billion of revenue last year, should do something like GBP 6 billion this year based on the growth rates they talk about. So we've been able to take that up quite considerably, but we obviously have a bit of scope to grow further if it's going to grow into that GBP 75 billion valuation. So overall, really positive, I think, for the core portfolio. So I think I would just say just before I hand back to Ben, it's a really positive set of numbers. It's pleasing to be up there talking about fair value growth coming back, really driving NAV per share. We've obviously continued to generate that momentum in realizations, which allows us to allocate capital to the new future winners of the investment and also to allocate some to buybacks, recognizing the NAV accretive benefit of being able to do that. So a nice set of numbers to talk about. And with that, I'll go to Ben, who can tell you a bit more about the portfolio.
Benjamin Wilkinson: Thank you, Andy. So as Andy described, we wanted to give you a bit more of the breadth of the portfolio, at least 10 in the call there that's showing those uplifts. We're also trying to show a little more of a -- shed a light on the emerging so that you can see the core is driving the growth. There's GBP 888 million of value there, but the emerging, there's almost GBP 500 million of value sat within that. So what we'll do here is take you through some of the drivers of the growth in the core, but also give you a little bit more of an overlay of how the portfolio comes together. You can see here that gross portfolio value that we talk about GBP 1.4 billion, core being GBP 888 million of that. And then think about the emerging, that GBP 256 million in the light blue bar. We'll talk to some of the details of that. And Andy touched on the fact that there are 68 companies sat within there. And then there's GBP 293 million sat within fund investments. If you look to the right-hand side of this chart, you'll see how that splits down. That's splitting down between some secondaries that we've been doing over the last few years, also SPVs, special purpose vehicles that we've invested in through the years, but also the fund of funds. There's GBP 120 million in that seed fund of fund program where we're an LP into funds across Europe, and there's about 80 funds across Europe that we're invested into. So small checks going into those funds, but that supports the ecosystem, gives us the data on those companies as they come through to the Series A and Series B stages of investment where we can look to invest in those companies directly. And then finally, with Earlybird, about GBP 80 million sat there as value, which is value that's not sat within the core. There are a few assets like Aiven and ICEYE, which are sat in the core, which are look-through into Earlybird investments. So if we touch on the larger part of the portfolio first, the core companies, their growth is driven by their revenue growth, that commercial traction that then feeds through into fair value growth. And we can see that the margins are very strong in that part of the portfolio as they are through the rest. That really gives an indication of really strong technology businesses with 68% gross margins, 6 of those companies being profitable, also some of those moving to profitability in coming years. So we have about 40%, 45% of that core being profitable now as well. Companies are well funded and growing strongly. You can see here that growth has continued and just touched on some of the assets, in particular, that Andy has just taken us through, but it's that commercial traction in the underlying businesses that we really look to. So where we're taking valuations up or we're taking valuations down, it's really underpinned by the growth in the underlying companies. One thing in terms of the age of the portfolio, the average age of those companies is 11 years, and our average age of the holding that we've had is 6 years. So it gives you a sense of where we're investing in those businesses on their own journey. And it's really where we start to see those commercial proof points, commercial traction selling to customers, increasing that revenue, demonstrating that you can sell to a breadth of different customers, but also increase your value within each of those logos. So upselling to those customers as well. Those are the points of reference that we're looking to when we're first putting our investment tickets into these companies. So the emerging portfolio, trying to provide a bit more color on how that comes together. On the left-hand side, we've got the capital deployed. Obviously, now we've been deploying for 9 years, over GBP 1 billion deployed. A lot of that's gone into the core, and that's driving strong returns. But then a lot of that has also gone into the emerging. And you can see here that that's been invested over a period from 2017 right through to now with the majority invested up to 2021. So you can see on the left-hand side that there's a real balance of that vintage creation within the emerging. It's not just focused on any one vintage. And I think that portfolio construction point comes across strongly when you look at that left-hand side of the chart. Average holding is about 9% equity, which is in line with our 9% to 11% probably average across the portfolio, which is also really where we start to think around 10% to 15% of initial equity. Sometimes that gets diluted down. So that's all in line with our original investment thesis. And talking to scale, you can see on the right-hand side here, how much of that is split by revenue. So the blue, the 44%, that's GBP 10 million plus of revenue. So it demonstrates a degree of maturity of those underlying companies. Some of them are pre-revenue, particularly where they're in the deep tech parts of the market where revenue might come later than the traction in the technology. But also you can see that some of those are earlier-stage businesses, GBP 1 million to GBP 5 million of revenue or GBP 5 million to GBP 10 million as they start to scale through that journey. Our job is to portfolio manage. Some of those will not scale and grow, and we'll reduce them down in our holding value or sell them on. Some of them will scale and grow into the core. And we talk in a couple of weeks about one of the investments that we've made in one of our existing companies, a Series B investment where we've led the round in that company preemptively, that's where we start to see that commercial traction coming through, and we want to put more of our shareholder capital to work in that business and then those companies can become the core companies that drive the growth going forward. So I wanted to talk for the next few slides about some of the specifics. We're touching on four of the core portfolio companies, and we'll also touch on a little bit of the emerging as well to give you a flavor of those underlying businesses. Revolut, we've talked a little bit about here, and it's obviously very strongly in the press. I think the only comment I'd like to add in addition to what Andy said here is this is a business that was founded 10 years ago, now has over 65 million customers, was a company that was scaled in the U.K. and then grown into other markets, and it is now getting licenses in South America, Mexico, and Colombia as an example. And it's just driving growth globally. So this is a really good example of a success case in Europe that we need to celebrate, and we need to make sure that the capital that goes into these companies to enable that success is there for these businesses that have the ambition to have global scale. And we're talking about productivity earlier today in some of my conversations. We need to drive more productivity growth, and these are the types of businesses that really allow that to happen. If you look back and think about when you had to go into your bank at least once a week to process checks or to go and deal with anything that required an over-the-counter service or when you traveled and maybe you had to have travelers checks, for example, at a certain stage of that journey. Think about how seamless your banking is now relative to how it was perhaps even just 10, 15 years ago. And this is the productivity that's been driven through all of the companies in our portfolio and it's been driven by this part of the ecosystem that drives job creation and innovation. In a similar theme, ICEYE, we invested in that business in 2018 into 2019. So they have now 50 satellites up in low earth orbit. And those satellites, as Andy touched on, can take images of the earth giving a range of 400 kilometers from single pictures down to the laptop scale of granularity. And that allows security to be a factor and a use case, but it also allows use cases and climate change. So thinking around forest fires, thinking about flooding and the impacts of that on the insurance part of the business, that drives a massive efficiency looking at areas that are affected or impacted by that. And our use of space is going to drive a lot more productivity in our daily lives. It already drives productivity with things like GPS. But clearly, that's becoming an important driver of growth going forward. And this company is performing very strongly. And another business that's quietly under the radar for several years while we've invested into those companies. And then they start to emerge as growth companies and drivers in our portfolio. And then in the last year as security and defense becomes more of a theme and sovereignty around assets becomes more of a theme, you can see that these companies are getting much more focus in the press. A similar business that Andy touched on is ISAR Aerospace. It's definitely worth watching the launch, 30 seconds into the air was important. There's over 100,000 components coming together in a single rocket. That's the first test of that rocket. And so demonstrating that it can get off the launch pad, demonstrating that they can safely bring that rocket down as per the plans, but also taking all the data into that next launch. This is a business that's exciting to watch. And hopefully, in the next few months, we'll be able to give you a bit more of an overview of that next launch happening, and we can all watch that one. And then Ledger, Andy touched on Ledger, cryptocurrency, hardware, security layers, security in anything, clearly very important. Even more important, as we've seen all of the cryptocurrency marketplaces have their own ups and downs over the years. A lot of people are recognizing you have to have it stored on a Ledger device. That's the most prominent device, hardware wallet for crypto and blockchain applications. And there's about 20% of the cryptocurrency market stored on Ledger devices. So it gives you a sense of their scale and what they've been building. Very strong tailwinds now for crypto and blockchain, particularly out of the U.S. And as this institutionalizes as an ecosystem and Ledger at the forefront of that with their hardware devices and the software that they can drive to allow trading. And then some of our emerging companies, equally exciting, the ones that we'll be talking about in a lot more detail in the coming years. BeZero is a carbon market. It's verifying offset projects and creating a pricing market for carbon. This is a business we invested in 2022 in the financial year and is growing strongly and undertook its Series C funding round, total funding of over GBP 100 million. And again, this is a business that's driving a new part of the ecosystem, a new part of the market that doesn't currently exist and hopefully becomes ubiquitous and something that we just take for granted in the next few years. If I look at that productivity theme, Deciphex, which is focusing on workflows and AI-driven support for pathology, that's a part of the ecosystem where we're investing a lot of capital into the NHS and investing a lot of capital into health. But a lot of that capital needs to go into the productivity tools that drive efficiencies. Public sector efficiency has reduced over the last few years, not increased. And these are the tools that allow that to happen. In a similar way to the space theme, we have Satellite View, another company in the portfolio, which is looking at thermal imaging of buildings. And so low earth orbit satellites go up, images of those buildings, looking at the heat signatures, looking at the efficiency of buildings, looking at security aspects that go alongside that. And this is a company that has a really strong order book behind it already. And then finally, Andy's favorite company, Manna, delivering -- it's interesting when you think around if you stand in London and you talk to people about drone delivery, it's a pipeline dream. In Dublin, that's already happening. There's hundreds of thousands of deliveries that have been occurring already over 200,000. And Manna, as it expands, we will go into 11 sites across Dublin, but we'll also be expanding into Finland, into the Middle East. It's a company that's born in Europe, that's scaled in Europe that is already ahead of many of the big players that we would assume would be at the advanced stages of this. So Manna is a very exciting company that we'll be hearing more about this year. Give you a sense across the board of the excitement that comes through our portfolio. But one important factor within our portfolio is how we think about driving growth. Direct investing is clearly the heartbeat of what we do and fund-to-fund investing, as we've touched on, helps to drive the ecosystem. But another important part of our platform is driving growth through secondaries. I just wanted to touch on that for a moment because sometimes when we invest in secondaries, people are trying to understand, well, why are you investing in other people's portfolios. But if you think about the journey of scaling technology businesses, they often scale in years 10 to 15 of their life. You can see in our core, the average age of 11 years. And then if you reflect on the average time horizon for a private structure is a 10-year fund. And so those technology businesses that are the winning companies in those funds are scaling and maturing at the very latest years of those funds where the managers of those assets need to show realizations and drive returns. So we provide a liquidity solution to those managers that allows them to give money back to their investors that allows those investors in turn to put new capital commitments into the managers' new funds. So you're unlocking a part of the ecosystem, which is clogged up. For us, the benefit is clearly investing in scaled mature assets. And we've demonstrated with our track record here that we can drive returns averaging 2.4x multiple. A lot of that has been realized in a short period of time. And it's really a way for us to create additional value for our shareholders by being active in the market and using our network and using our relationships and using our ability to value technology businesses and being very fundamental about the value of those companies and drives additional value to the direct investing that we have in the portfolio. So delivering returns in excess of GBP 200 million on our secondary strategy. It's not something we do every year. It's something that we do where we feel there's pockets of value and discounts that we can take advantage of. So then finally, how does that drive to returns across our entire portfolio, over GBP 700 million of realizations over the 9 years and thinking about venture capital as an asset class, the returns are skewed to the winners. You have to run your winners. And in turn, the management skill of a venture capitalist is managing an entire portfolio and ensuring that you can drive returns from the rest of the portfolio as well. And you can see here that we've had over 5x plus returns, which have driven the majority of the value. That's the pure power law playbook of venture capital. And those are the companies that we'll naturally talk about a lot, but also driving returns coming from more modest multiples in the 1 to 3x ranges, that's an important part of what we do. And I think that's been very differentiated at Molten in terms of how we think about the portfolio and consistently driving those returns coming back through -- and even in the scenarios where we might not be making positive returns, we get less than 1x our capital back. We are in the risk business. We should be taking risks. We should be investing in companies that have great potential, but clearly, not all of those companies will make it to be the key returners. And therefore, trying to drive some returns of capital back is an important part of that portfolio management as well. So finally, as we look to wrap up, I'll just give a sense of the current market environment that we're investing into. Left-hand side, you can see Europe has been scaling as an ecosystem up until '21, a lot of capital put to work in that period, but has really settled to a level of around GBP 60 billion to GBP 70 billion a year being deployed. If you compare that with the right-hand side, though, we're seeing a lower number of companies being funded. And that deal count coming down has shown that the capital has been going into companies where there are perceived winners, particularly around AI. And therefore, there are companies that can raise substantial pools of capital, substantial amounts of capital, but that's not growing across the whole of the ecosystem. The area where we invest will be in the GBP 5 million up to GBP 20 million sort of range. So if you think about that in the context of these charts, that's the dark blue lines on the left-hand side going into the lighter pink lines. That's had a reasonable amount of consistency in terms of the capital that's been deployed there, but there's still a gap to capital. And one of the things we'd like to do is drive more capital coming from pension funds coming from our own institutions to support this part of the ecosystem where the opportunity set is fantastic. The innovation that's occurring in Europe is very strong. The opportunity to invest in generational shifts in technology is here right now. And these are technologies that are going to be profoundly changing our societies and how we work and the productivity that occurs over the next 20 years. This is the time to put capital to work, and we're the vehicle to do that through, and we've demonstrated that over many years. So finishing up before we move to questions, just to reiterate the priorities that we started out with the outset of this presentation, how are we performing against those, so core investing in Series A and Series B. We've demonstrated that. We've invested GBP 33 million in this first half of the year. We've also continued with our secondary strategy. And then post the period end, another GBP 20 million has been invested. The company that we've been indicating as a Series B investment exactly in line with our strategy of supporting our best companies, helping them scale and grow, and we'll be announcing that in the next couple of weeks. Co-investment capital touched on as an important feature, bringing more capital into the ecosystem. We have Molten East, which is focused on Eastern Europe and the technologies and the entrepreneurs and the engineering ecosystem that exists there. That is a fund that we'll look to close in the next calendar year, some good progress being made there, and that will demonstrate additional capital coming into the ecosystem that we will manage. Narrower fund of fund commitment, focusing that capital back to our direct investing and secondaries. We've been speaking to all of the managers in that ecosystem, supporting the ones that we're already an LP into, but also being clear that we'll put the capital into a narrower cohort of managers going forward. And then balance sheet strength, Andy has touched on this in some detail, continued realizations and continuing to redeploy that capital into those NAV accretive areas. And finally, narrowing that gap to our discount in the share price. So NAV 724p a share, shares clearly trading at a discount to that. So the buybacks have been an important feature of the model over the last year. And I think that flexibility we demonstrated of allocating capital that comes back into new investments, into secondaries and into buybacks has been a core pillar of the last year or 18 months that has been a way of us driving value. So looking ahead, extremely positive, strong portfolio, very good growth coming through the portfolio, strong balance sheet, capital pools expanding and then the performance coming through in the NAV accretion as well. So very happy to be up here and to demonstrate all of those pillars of our strategy and our platform and seeing those coming through the numbers. So I think with that, we will say thank you and go to questions.
William Larwood: Will Larwood from Berenberg. Firstly, I was just wondering if you could give us a flavor of how valuations are changing across from Series A, Series D and then sort of more towards some of the later-stage businesses. And then secondly, if we think about future capital deployment, how should we think about sort of secondaries, primaries, buybacks? I noticed that you've got GBP 39 million committed or potentially going to be invested in your forecast for this rest of this financial year. So just a bit of a sense around that for this year, but also into the next couple of years as well.
Benjamin Wilkinson: Thank you, Will. So taking them in order, valuations at this stage we're focusing on is A and B. At that stage, you will see -- let's take Series A, you'll see commercial tractions, maybe a couple of million of revenue. And then what you're focusing on at that stage is how much money the companies are raising, trying to make sure that's balanced between what they need to raise versus what they'd like to raise. And what I mean by that is if they're raising [ GBP 10 million ] because that unlocks the next level of proof points for them, that's usually a better thing for them to do versus raising [ GBP 30 million ] and having excess cash. And so the valuation is a function of how much they raise versus the dilution. So getting that balance of the size of the raise is important, but also being able to demonstrate to new investments that we're an investment house that can follow on in our capital. If you keep proving your growth, if you keep proving your commercial traction, we'll put more money to work. And that's when you start thinking about Series B investing. The tickets are going to be deeper. So you're thinking GBP 20 million type tickets as an average. And then again, it's a function of dilution. But by that stage, you should be seeing GBP 5 million, GBP 10-plus million of revenue. So it starts to become a function of multiples alongside. As you get to later stages, the commercial proof points come through, and therefore, you're really valuing those businesses more on financials and pure financials and there's more capital available at those stages. So you'll often see higher, larger raises, but also more availability of capital. So when I talk about gaps to capital and why we play in a part of the ecosystem, which is very important, it's because you need people with deep pockets that can write consistently GBP 20 million investment checks plus, but also have the venture skills to balance risk and growth and help those companies with active management. So that's why I think the part of the market that we invest into is quite important, but also something that we do, which is a unique point of reference. In terms of how we deploy capital going forward, we think about GBP 100 million is where we'll end up this year, GBP 95 million to GBP 100 million is what we're budgeting. We clearly want to put more capital into those Series B deals we've been talking about supporting those later A deals as well. And then secondaries are still an important feature. I think that's a great way of us balancing the portfolio. We've got this core, which is maturing. We think that those will turn to realizations in the next, call it, 2 to 4 years, you'll see a lot of that value coming back through to our portfolio. And our job then is to be NAV accretive allocators of that capital. So we want to put it into direct investing. We want to put it at the Series B stage, which is where we feel is that right balance of commercial traction, risk and upside. But also we want to be putting that into buybacks if we're trading at these discounts. So that's the way we'll think about it. Getting back to a level of GBP 100 million, GBP 150 million of deployment might be where we'll end up. But what we will be doing is balancing our capital deployment with other pools. So if we have third-party capital coming alongside the public balance sheet, that means that we can more consistently write those bigger tickets at Series B, and that's the way we're thinking about the strategy going forward.
William Larwood: I just follow on with the Series A -- sorry, just the Series A and Series B valuations, how have they changed versus sort of 12 months ago or 18 months ago?
Benjamin Wilkinson: It really depends on the type of business, honestly. If it's got an AI wrapper around it, clearly, those companies have been getting elevated valuations. And if it's a more normal, let's say, business that we like to invest in, clearly, companies that are driving productivity, innovation, they are infrastructure layers into certain themes, then I think they've been fairly stable, actually. You've seen a real degree of consistency. And when I showed you the European market and the movements we've seen in the market in terms of capital, a lot of the capital that's going to a fewer number of companies has been going into the AI ecosystem. Clearly, early stages in terms of the large language model levels, that's really intensive capital area. That's not somewhere that we've been looking to play. We're more interested in those application layers thinking around how do enterprises use the underlying technology, how does it drive productivity? How do you get more customers wanting to buy it? That's where we think about technology.
Patrick O'Donnell: Patrick O'Donnell here, Goodbody. A couple of questions. So just on the secondaries, in terms of sort of what you alluded to in terms of near-term realization, anything you could give us whether it's relating to Connect and some of the key assets there or anything -- any developments strategically or commercially in some of the kind of secondary funds?
Benjamin Wilkinson: Yes. When we invest in secondaries, we're pinpointing key assets that are a maturity profile that we can then map that out and look to get our target returns. In terms of the Connect Ventures deal, that gave us exposure to Typeform and Soldo, 2 very good businesses, also already levels of maturity that suggest within a 3-year time frame, which is roughly the average we've seen in secondaries, you might see those turn into liquidity. So that's the way we think about it. Not necessarily right, we've invested now go and sell the asset. It's more about -- it's within their maturity window, sell it at the right time to create the right value. And those companies are on that journey, but they're also scaling their own businesses. They're at a stage where scaling that and continuing to grow might be the best option, and we're going to get the benefit of that fair value growth that goes with it. So I don't want to paint it as a picture of we're invested now. This is your time, you're on a clock. It's just about value creation and value creation from growth is just as good as value creation from realizations. In the most recent SpeedInvest deal, again, we've got companies that we haven't been able to be specific about them, but there's at least 5 assets there, one key asset in particular that we're excited about that hopefully we'll be able to talk to you about a bit more next year.
Patrick O'Donnell: Very good. And just on the sort of valuation, anything you could point to sort of since you bought, say, the Connect Venture assets, anything moving in the right direction or whether it's some of the key assets?
Benjamin Wilkinson: There are some uplifts in the secondaries. When we bought them, we've acquired them at discounts, more often than not because you're providing liquidity to a part of the market where the LPs who are the investors in those funds can choose to stay in and ride the upside, but they might be in for a time period when they've already been in those companies for 10 years in those funds rather for 10 years that they would feel actually taking some cash off the table now is more appropriate. So we can usually acquire at discounts. And then with the commercial traction of those businesses, they continue to grow, then we can write those up. And you've seen, I think, on the last slide that I showed you that the multiples of capital on those most recent investments are in the positive territory.
Patrick O'Donnell: Clear. And just maybe one last one. In terms of sort of the operating costs that you've flagged the sort of reduction over the last 6 months in general admin expenses. Would you expect a similar pattern of cost between H1 and H2 on that? And like is the H1 number broadly sort of a 50-50 split?
Andrew Zimmermann: It should be, yes. We're continuing to work on efficiencies and managing our operating cost base, both in terms of third-party costs, administrative fees, technology and leveraging the maximum from those and also with our headcount. So we've obviously reduced our operational headcount slightly by being a bit more efficient, but maintaining that investment in the investment team so that we have that quality, high part quality with the investment team to keep growing that NAV in the portfolio. But we'll be very on top of the costs going forward because we're obviously mindful of that and how that benefits shareholders.
Patrick O'Donnell: Understood. And very last one, just on the sort of core portfolio. You obviously have very mature assets now. You pointed a 2- to 4-year exit time frame on revenue. I'm actually a bit surprised at the length of it. Anything you can kind of give us on that? Are any nearer term sort of which ones you'd point to as sort of from an exit point of view that have the shortest timeframe within the core?
Benjamin Wilkinson: Yes. We're always quite careful to talk about our targets through the cycle because things tend to be lumpy naturally. When we talk about exits, we want to talk them within a timeframe because it's ultimately what's right for the business. If you're going down an IPO path, as you know, that's a minimum 18 months project. And then if you're going through an M&A process, that can happen at any time on your journey, and it's then about working out what's right for the company and for the returns profile. So we always talk about them in broader terms because we're not in control of exactly when these things happen. If I look at the shape of the core, though, you have companies like Revolut that have a stated IPO target. I think in the press, most recently, they were talking about that within 2 years or at least 2 years. So that might be the horizon. For us, if the business continues to grow at 70%, 50%, let's say, uplifts, then the reality is we're going to create value by holding on to our position and just managing that as a portfolio position as we see pockets of liquidity, taking some off the table. We think that that's the right balance. Companies like ICEYE clearly scaling to a maturity, supporting parts of the ecosystem where naturally you think that might be a public company, certainly has a profile of a company that would perform well. And then things like Thought Machine have talked about potentially going public at some stage on their journey also. What is true, though, is that 85% of our returns have come through trade sales. So this is often an arbitrage of larger businesses acquiring great technology companies and then putting that technology into their existing customer channel. That's the arbitrage that often exists, and we'll see many instances of that as well. So I think the maturity of the core companies, the breadth of the technologies that they're addressing and the markets they're addressing really lends itself to us seeing a lot more coming through in the next -- in the coming years.
James Lockyer: It's James Lockyer from Peel Hunt. Maybe just a follow-up to the last question about exits, not specifically timing, but given that you were able to exit some of the Revoluts, which allowed you to sort of demonstrate liquidity for your trophies. Are there others out there that you have the ability to do that? Because obviously, as they grow and those core are the ones that are going to grow most presumably, that risk in terms of proportion of your business gets larger. Is there any thoughts around going, well, as it gets to a certain size, we'll think about trimming if we can because then it reduces our lingering overexposure sort of threat perception, let's say? And then secondly, you seem to allude that your particular AI exposure isn't so much the bubble or perception around there. You said your valuation has been relatively steady. Is it fair to say that if there was an AI bubble burst, the assets you've got are less exposed to that? And how are you valuing the AI adjacent companies such as General Index, Polymodels and Deciphex in that context?
Benjamin Wilkinson: You're going to ask me another one then. I was going to forget them.
James Lockyer: I can, but...
Benjamin Wilkinson: Yes. You always have a list. Thanks, James. Let's start with the Revolut position and thinking about the shape of the portfolio more generally. We look to take value off the table, thinking around returning costs, thinking around opportunities for balancing each of the investments. So I think we demonstrated that clearly with Revolut where it becomes a more significant asset. It's still growing strongly. Commercially as a business, very, very positive. But for us, it becomes a moment of thinking around what's the shape of the portfolio, what's the time horizon over the next few years. And we would take a bit of liquidity on the journey has been our strategy. And we'll do that with other companies as well. Quite often with funding rounds, there's an opportunity to take some liquidity, and we'll take some of that off the table. But what we'll also want to do is balance that with the commercial traction and the upside. So we'll always think around this point about NAV accretive use of capital. If we're going to recycle capital, we want to put it to work into assets that are growing faster than the company we're already in. And some of it is balancing because you don't want the luxury problem of risk, if you like, in the way you've described it. I think it's certainly a luxury problem. But you don't want too much of your eggs in one basket, and therefore, the balance of the portfolio is the way we will think about that. I think we've demonstrated that we've been sensible about taking liquidity at the right times, balancing with riding the upside and also balancing with reinvesting into new opportunities. In terms of the AI assets, the companies that we're investing in fundamentally are driving business by being efficient, if you like, for the customers that they're selling to. So think about a General Index, that's driving an efficiency in a market by using technology that makes it quicker and cheaper to get the data that people like Bloomberg and ICE ultimately need for their commodity prices. That doesn't go away if there's an AI bubble burst. It's about ultimately fundamentally, what's that technology used for. That's what we care about. And then the pricing of those deals, I would say, has very much been in line with the market. I don't feel like there's been a sense where we've had to massively overpay. And you say, okay, well, why would that be? It's because we build relationships with those teams. We build a trust that we understand their companies and we understand their markets, and we can help them grow and scale. Their chance of success in those businesses is higher with our capital and our support than if they didn't have that. That's ultimately the way that we will try and create value.
James Lockyer: If I may ask a third question. Just on the 6% on that basis specifically on that 6% fair value growth, how much of that was financial upgrades versus multiple reratings, I'd say as a sort of split?
Benjamin Wilkinson: Andy, if you want to...
Andrew Zimmermann: It's a mix, actually, because comps have helped in certain sectors. So obviously, things like ICEYE, that's obviously been beneficial. They've probably not helped in some sectors like SaaS and cloud. But -- and CoachHub is a good example, I guess, where that revenue proof point has fallen away a bit. So we've had to reduce the premium for that value. But other ones have had very strong commercial traction as well as the benefit of the tailwinds, Ledger being a good example as well as Revolut.
Benjamin Wilkinson: I think that brings us to the end of the questions, and we're about time. So thank you, everybody. It was a slightly longer presentation, but we really wanted to get into a bit more of the depth of the portfolio. So hopefully, those slides are very useful. There is also appendices to the presentation, which we won't take you through now, but there's some more interesting information to look at in there as well. So just leads me to say thank you to everybody. We're very pleased to have a positive set of results, and thank you for your attention.